Operator: Good day, and thank you for standing by. Welcome to the WM Technologies Second Quarter Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Greg Stolowitz, Vice President of Investor Relations. Please go ahead.
Greg Stolowitz: Hi, everyone. Thanks for joining us to discuss our fiscal 2023 second quarter results. We have our Executive Chair, Doug Francis; CTO, Duncan Grazier; and Interim CFO, Mary Hoitt with us today. By now everyone to have access to our earnings announcement and supporting slide deck on our Investor Relations website. During this call, we will make forward-looking statements about our business, outlook strategies and long-term goals. Keep in mind that forward-looking statements are not guarantees of future performance and are subject to a variety of risks and uncertainties, some of which are beyond our control. Our actual results could differ materially from expectations reflected in the forward-looking statements. For a discussion of risks and other important factors that could affect our actual results, please refer to our SEC filings available on the SEC's website and our Investor Relations website as well as the risks and other important factors discussed in today's earnings release. We specifically disclaim any intent or obligation to update these forward-looking statements, except as required by law. For the of those who may be listening to the replay or archived webcast, this call was held on August 8, 2023. Since then, we may have made announcements related to the topics discussed, so please refer to the company's most recent press releases and SEC filings. We will also discuss non-GAAP financial measures along those prepared in accordance with GAAP. Non-GAAP financial measures should be considered in addition to, but not as a substitute for the information prepared in accordance with GAAP. You can find a reconciliation of these measures to our GAAP results in our earnings presentation on our Investor Relations website. And finally, today's call is being webcast from our Investor Relations website, and an audio replay will be there soon. With that, I'll turn the call over to Doug.
Douglas Francis: Thanks, Greg, and hello to everyone joining us today. I'd like to begin by welcoming Mary Hoitt, who joined us last month as our interim CFO. Mary has a wealth of experience that is already in play and will be invaluable to Weedmaps Technology as we continue to streamline and optimize our business. I'd also like to welcome our CTO, Duncan Grazier to the call, who will speak to what we are building at Weedmaps. Duncan has been on our team since 2019, became our CTO in Q4 of 2022 and is a key partner in driving focus across our organization. Duncan represents the future direction of our platform and has accomplished much in a short time as CTO I'm excited for you all to hear from him today. Finally, I'd like to thank our former CFO, Arden Lee for his time at the company. We wish him all the best in his future endeavors. Now turning to our results. We are pleased with our second quarter performance, which reflects our renewed focus and continued productivity over the past few quarters. For the second quarter in a row, we beat our expectations for revenue and adjusted EBITDA, while generating positive cash flow from operations. Our overall cash balance would have increased had it not been for payments related to last year's headcount reductions. In Q2, we had revenues of $51 million, net income of $2 million and adjusted EBITDA of $10 million. Our adjusted OpEx was 32% lower than a year ago. We are fully committed to continuing the operational discipline that has driven our return to profitability. As Mary will speak to, we feel comfortable with our financial and liquidity position. While there is more to do, we are pleased with the progress we have made, especially in what continues to be a challenging end market. As I have said for multiple quarters now, we are focused on three objectives this year, delivering value to our clients, improving our marketplace and driving profitable and sustainable growth. On delivering value to clients, in addition to the marketplace improvements, which we will speak to, we are heavily investing in and committed to building deep, impactful relationships on national and hyperlocal levels. We are focused on engaging with our clients and the broader cannabis community at multiple touch points with our on-the-ground field marketing presence. We believe our ability to combine effective off-line promotional activations with our digital platforms creates a built-in ROI value add that is unique to Weedmaps and is something our clients are excited about. We know how to drive folks to stores and that goes beyond our technology. We also continue to innovate and strengthen our industry-leading marketplace. In addition to continuously improving our user experience, we are tuning, refining and scaling the product catalog, personalization and conversion for our clients, Duncan will touch on this more in a moment. Finally, on driving profitable and sustainable growth, it is critical for us to continue to be focused on savings. We will now be surgical with where to find opportunity and continue to operate lean and scrappy. As Mary will mention, we do plan on being strategic with marketing investments that may put pressure on EBITDA in the near term, but we will do so intentionally. We feel we are in a unique position in the industry, the dry powder for meaningful year acquisition, focusing on priority markets and land and expand efforts. We need to take advantage of this opportunity in a very disciplined and methodical way. Mary will cover additional detail to support my earlier commentary. It is no secret that the industry is struggling with growth. While we hope for regulatory support from any and all levels of government, history tells it to hold our breath. So we need to focus on the things we can control. For 2023, we are focused on four key areas of growth. First, data and curation combined with our improved search and dynamic pricing will give us more opportunities to better monetize targeted traffic on our platform. Second, we need to go and win priority markets. As mentioned earlier, with the combination of promotion expertise, field marketing, best-in-class data and a healthy marketplace, we now have all the tools in place to win each market with confidence. Third, we need to expand on our brand offering by providing improved features like industry insights and brand-specific shopping experiences. Last, we need to focus on our engagements with the large MSOs who require the highest level of customization. Once again, operationally, we are ready to support the elevated needs of MSOs and help them leverage our team and platform to get a high return on spend with us. In these headwinds, the goal for us is to protect our P&L and play the long game. We are profitable, maintain sizable technology and marketing teams with good velocity and have the budget and resources to invest in opportunities across markets. This puts us in a unique position in our industry, protecting the P&L is more than just EBITDA. It is important for us to work with clients who we think are going to be successful, and we'll make it out the other side of this challenged market. We need to help control our client spending on our platform to ensure we actually get paid. To that end, we do turn away sales from time to time. We also effectively tightened our collection procedures, which will put additional pressure on our top and bottom figures, but we believe it will ultimately improve the quality of our income result in lower bad debt expense risk and further prepare us for additional headwinds should they arise. Finally, we continue to identify efficiency opportunities in our business. While revenue beat expectations in Q2, we remain concerned about the lack of political support in our industry and the near-term outlook for many states. Q2 sales are supported by the 4/20 holiday, so we're expecting Q3 revenue to look more like Q1 and are comfortable with how that sets us up for the long term. One of the biggest mistakes cannabis companies can make in this environment is overreach. There will be a time to stretch our legs as we wait for a positive regulatory catalyst. As I've said before, the long-term thesis around cannabis is sound for those with the patience and know how to see it through. The strong will get stronger and headwinds will naturally call even better path for us. Stay lean, stay profitable, find growth in areas we can control, ride it out and wait for positive industry catalysts. Before I turn it over, I wanted to provide an update on WM Technologies leadership search. I believe the company is back to operating with a lean and cannabis first philosophy. While the headwinds are ever present, I believe they are relatively measurable. As mentioned before, these two factors were the gating items to begin our CEO search. The Board has engaged a search firm, which is actively running a process for a new CEO. Mary will continue to serve as the CFO on an interim basis. In closing, I am proud of what our team has accomplished over the past two quarters. Change is never easy, but the entire organization has worked extremely hard to rally around and accomplish our important operational and financial goals. And most importantly, they continue to service our clients and meet their needs, which is ultimately what will drive long-term sustainable growth for WM technology, our clients, the industry and our shareholders as well, for that, I want to thank each and every team member. With that, I'll turn it over to Duncan.
Duncan Grazier: Thanks, Doug, and good afternoon, everyone. I'm excited to join you today to discuss our technology organization and how we are continuing to build the future of Weedmaps. I joined WM technology in 2019 to lead our efforts to set up our technology to be capable of scaling to a post-federal legalization industry. I want to start by giving a brief overview of the organization, how our technology platform has evolved in recent years and then talk about some of the most important initiatives where we see tech as a driving competitive advantage for our business. And as Doug mentioned, I will talk specifically about some of the key product and technology advancements we made in the past quarter to our marketplace. Our technology team consists of more 200 software engineers, product managers, data analysts, data engineers, user experience and user interface designers, and many other roles that develop, maintain and support the full stack technology that helps to run every function of our business. The scale of our technology team while maintaining profitability is an industry advantage. We can simply invest more in technology for our consumers and clients. At the highest level, our goal is to create a best-in-class experience for all Weedmaps users and our clients. We must not only maintain the most comprehensive and accurate menu and product offerings in the industry, but we also need to deliver a great user experience to drive growth for our clients. To do this, we build the underlying technology that enables us to deliver those experiences in a manner that is not only durable, scalable and resilient, but also supports the complexities and requirements of the regional cannabis industry. Over the past few years, we have evolved our organization several very specific ways to facilitate that growth, transitioning to being mobile first, deepening our data focus and a focus on customer centricity. I am happy to say we have made massive strides in the first half of 2023. I'd like to turn now to the underlying technology itself and how it is influencing the experiences of our users and clients as they utilize the Weedmaps marketplace. In particular, we are laser focused on the benefits of our cannabis industry-leading data set, machine learning and automation as we think about continuing to drive scale for our business and our clients' business. Our technology teams work across a number of important functional areas that solve for consumer acquisition, conversion and retention. For those users, we want to show them the right and relevant content at the right time in the shopping journey and enable them to quickly and seamlessly order their local product for pickup or delivery. It is critical we deliver quality, convenience and selection for our user cohorts ranging from premium to economy. For our clients, these efforts include tools to help them efficiently and accurately populate their online menus and deal offerings and also to leverage our ad solutions to drive their specific business objectives. The advancement of our technology platform is allowing us to accelerate our ability to hit our key objectives. For example, we ran dozens of experiments over the last two quarters to help ensure the marketplace experience matches best-in-class e-commerce platforms, and we expect those changes will lead to improved conversion rates for our clients. In the second half of this fiscal year, we will accelerate the release of improvements of the product, UX and underlying technology. We will be laying the groundwork for growth, more ways to shop, more higher local content to discover and more opportunities for clients to grow our business on Weedmaps. On the consumer side, we enhanced our search and product-based shopping experience for users, making it far simpler for users to find the exact product strain or effect they are looking for. We also pivotally for the 4/20 holidays, streamlined the deal claiming experience. This past quarter, we were focused on down-funnel conversions to drive the highest value to our clients, especially around the 4/20 and 7/10 holidays. As part of this, we unlocked category shopping by more prominently serving opportunity to users and also help optimize the checkout flow and post-order experience with value-added features of order status and mobile push notifications, which helped alleviate challenges related to communicating with consumers through text messages. Finally, on the data science front, we advanced our machine learning-driven algorithms to not only drive personalized user experience but also to improve our overall menu and listing quality. We increased product verification, product data completion and syndication across our platform. We use advanced machine learning to carry the tens of millions of items across our product catalog as well as to augment integrate and ensure accurate and complete product information. This enables us to respond to individual user needs and making sure our clients, customers can shop with enhanced confidence in finding products and price points that are right for them. We are dynamically curating user search to show products that not only fit the parameters of their search but are also located at retailers and delivery operators closest to them. Collectively, we believe these efforts will improve our ability to acquire, convert and retain customers for our clients. Finally, as we look to the future for our users, our team is focused on improving the product and category-based shopping experience through deeper personalization localized and curated content. And for our clients, we will continue to ensure we have the highest quality menu items in the industry, powered by seamless integrations, best-in-class curation for brands and retailers and streamlined, simplified tools for clients to create business efficiencies and drive growth on Weedmaps. Weedmaps has been a technology leader in cannabis since 2008 and have touched millions of consumers. We are positioned to continue to do so and are very excited about what the future holds. I want to thank the entire technology organization that makes our products better every single day for our consumers and clients. And now let me turn it over to Mary for a review of our financials.
Mary Hoitt: Thanks, Duncan. I'm excited to be joining my first WM Technology earnings call. Our second quarter performance beat our expectations on top line growth and profitability. Q2 revenue came in at $51 million, which compares to $48 million expectation that we gave in May. Q2 adjusted EBITDA was $10 million, which compares to the $4 million expectation that we had. And as Doug said, we generated positive cash flow before making final payments related to last year's headcount reductions. We had 5,609 average monthly paying client in Q2, down less than 1% versus Q1. We were able to drive new client growth across both mature and emerging markets. However, these client wins were offset by churn, largely stemming from California and Oklahoma clients. In California, specifically, we saw churn from delivery clients facing economic headwinds or other clients facing billing issues that we removed from the platform as we implemented more stringent collection policies. Overall, we experienced net positive client growth in our emerging markets. Revenue per client was $3,022 in Q2, up 7% from Q1, driven by increased client spend in our mature states, offset by churn largely of smaller, lower revenue paying clients. As we have previously stated, we do expect the revenue per client will likely decline in the next few quarters as we onboard clients in emerging markets who begin with lower levels of spend on the platform. In California, revenue per client was up 6% versus last quarter. California represented 54% of our revenue in Q2, slightly down from 55% in Q1. Our monthly net dollar retention on listings revenue was 99.5% for the quarter. Q2 adjusted EBITDA of $10 million reflected a 32% reduction in adjusted OpEx versus last year, similar to Q1. We saw the largest declines in spend across sales and marketing as our adjusted sales and marketing declined by 38% versus last year. Our adjusted product development and adjusted G&A declined by 28% and 29%, respectively. Our adjusted G&A includes a $1.7 million noncash charge related to provisions for doubtful accounts. Relative to our Q2 guidance, upside in adjusted EBITDA was driven by our strong top line performance and continued efficiencies we are finding in the business across wage and non-wage. We did see a timing shift in some marketing spend from Q2 to Q3, which helped with our Q2 margin profile but will impact our Q3 financials. Finally, our bad debt expense continues to decline, which we believe reflects the policies and procedures we have implemented over the past few quarters. To echo what Doug said, we will be disciplined in our investment-making decision. This is what we did in Q2 and are focused on doing in Q3 and beyond. As an example of this discipline, our net headcount grew by just five in Q2, ending the quarter with 530 employees. We reported a net income of $2 million, which was impacted by $3 million in D&A, $4 million in stock-based compensation, along with approximately $2 million in other nonrecurring charges. Our GAAP OpEx, excluding cost of revenues and D&A was $41 million in Q2, a reduction of 37% versus last year. More information on these changes is available in our earnings release, which will be in our Form 10-Q. We closed the quarter with $25 million in cash, which is after $8.5 million in cash payments that we had already accrued for related to headcount reductions from last year. As we have previously stated, we expect Q2 will be the low point of our cash position for the year, given we have now made all of the payments related to those headcount reductions. We continue to be debt-free and are comfortable with our liquidity position. Our share count across our Class A and B share classes was $149 million at the end of the quarter. A reconciliation of non-GAAP metrics to their nearest GAAP results as well as the details of our share classes and share calculations are provided in our earnings presentation posted to our Investor Relations site. I'd also like to provide an update on our independent auditors. As previously reported, Baker Tilly will no longer serve as our auditor following the filing of our second quarter Form 10-Q. I am pleased to announce that the Board has approved the appointment of Moss Adams as the company's new independent registered public accounting firm for the fiscal year ending December 31, 2023. Turning to our outlook. We continue to be pleased with the progress we are making across our three priority focus areas and are confident we are making the right strategic, operational and financial decisions to set WM technology up for the near and long term. With that said, we are acutely aware of the well-known challenges still facing our industry and the lack of progress on multiple fronts, including regulatory enforcement, state GMV and license growth. We must continue to prudently plan for and spend against a realistic and reasonable view of our top line, and as such, we are planning for Q3 revenue to be $47 million. On profitability, we expect adjusted EBITDA will be in the $4 million area. The margin in the quarter relative to Q2 will be largely driven partially by the timing shift of some marketing expenses from Q2 to Q3 as well as additional investments we are planning to make across both activations and digital marketing. We believe these investments are the right ones to make to both support our clients and grow the Weedmaps marketplace. We remain committed to our previous guidance of double-digit adjusted EBITDA margin for fiscal year '23 and generating positive cash flow for the year and expect our cash balance to increase in Q3. At this time, I'll turn the call back over to the operator for Q&A.
Operator: [Operator Instructions] Your first question comes from Andrew Carter of Stifel. Please go ahead.
Andrew Carter: Yes, thank you. Good evening. I wanted to ask on the $3,022 net spending client, could you quantify kind of what the bump was from April to that number? And what's a good - kind of a good ongoing number is? Was that kind of up? I know there's a lot of moving parts, but I'll start there.
Greg Stolowitz: Andrew, it's Greg. I'd say this, obviously, in our commentary, we talked about some of the churn we're seeing. A lot of that was in the tail. We saw really good momentum, especially in the beginning of the quarter for some of our larger clients increasing spend. And so a lot of - we were happy with that. It was reflective of the policies made of leading in and working with our clients. As we look on the go forward, obviously, you heard our guide. I would say we expect paying client count to be relatively flat, just given we're going to see some growth, but we're going to see some offsetting churn and that will impact the spend per client. So it will probably be more reflective of what it was in Q4 and Q1 versus what we saw in Q2.
Doug Francis: And this is Doug. Additionally, as we go at the emerging markets, the average spend per client tends to be lower. So we'll realize some of that in the near term.
Andrew Carter: Yes. Perfect. I'll ask something different. The retention, what is kind of net retention like right now in emerging markets and kind of the spending profile because emerging markets a little bit of a selling proposition more so than California, where the brands are established?
Greg Stolowitz: Yes. We don't have - we obviously don't have a specific regional net retention or state-by-state number retention that we disclosed. I would just say we're continuing to increase clients in our emerging markets. The churn we saw, obviously, was in California and Oklahoma. So we're seeing really good retention growth in the emerging markets. The spend levels are obviously below our average and some of our mature states are above the average. And so those continue to increase, but they are obviously low in the average as we develop those markets.
Doug Francis: And as these clients are facing headwinds, we're really working with them to develop these emerging markets because the health of the market really implicates the long-term outcome. So again, we're being opportunistic and supporting our industry where we can.
Andrew Carter: And the final question I'll ask you about the days receivable, I think it's down to 29. Can you - have you got it under controlled where there it's sizably within, I guess, what you would expect terms to be? Or is kind of the continued churn like kind of what levels are out there?
Greg Stolowitz: Yes. Look, we've obviously made - we feel pretty good progress on our receivables and our collection policies. We have implemented. We continue to plant slightly more stringent policies and are holding our clients to that. Doug talked about some of the revenue decisions we're making on his commentary. And so we feel it's in a good position. Obviously, our allowance for bad debt is coming down. There are still known and unknowns out there. And so we're not going to say we're in the clear completely, but we feel really good about the policy and procedures, both internally and how we're working with our clients about how that number has been trending.
Andrew Carter: Thanks. I'll pass it on.
Operator: Thank you. One moment for our next question. Your next question comes from Scott Fortune of ROTH MKM. Please go ahead.
Nicholas Anderson: This is Nick on for Scott. Thanks for taking the questions. First one for me, just on the client side. Can you just comment on what you've seen from your clients in terms of their appetite to kind of invest in advertising. Given kind of the more difficult macro backdrop, we've kind of seen a shift here to focus on margins and cash preservation. Obviously, the ROI of your offering is compelling. But I'm just wondering if you've seen any kind of discernible changes in client spend behavior in the past six months?
Doug Francis: Yes. Obviously, that varies state to state. So each state is its own story. We definitely feel pressure across the board on our clients' budgets in general. That being said, there are a few players who are consolidating and taking advantage of these opportunities. So it's important for us to get those relationships tight with those folks because as you can see in some of our data that we did increase income in places like California. So it really is just a state-by-state story.
Nicholas Anderson: Okay. I appreciate the color. And then second for me, just kind of on the announcement from Mastercard to shutter cannabis transactions. Just kind of your puts and takes there from that announcement. And have you seen any impacts on the client side or any impacts from your business just off this announcement?
Doug Francis: Yes. I mean it's obviously additional headwinds that as an industry, we continue to face. We know some companies out there have built technology, assuming they'd have that Mastercard ability in their stack. So that will be a challenge for them. Our industry is dynamic. We're used to this. So I imagine most of our clients will be able to bob and weave and come out okay, but this is definitely just another pain that they're going to have to deal with.
Nicholas Anderson: Great. That's it for me. I'll pass it on.
Operator: Thank you for your participation in today's program. This does conclude this conference. You may now disconnect.